Jerome Michiels: Welcome, everybody. Thank you for joining this call. I am here together with Benoit Drillaud, our CFO as well as with Olivier Allot and Lucile Roch from our Investor Relations team. Let's go directly to the highlights of this first quarter. If you have the presentation in front of you, it's on Page 3. And let's start with the principal investments that have in general performed well with total revenue growth, good across the board. Some slight impact from market volatility in terms of asset valuation. I will come back to that in the presentation. On the Asset Management side, a very good first quarter with IK Partners having posted revenues up 33%, assets under management up 9% year-to-date and about €600 million raised over the quarter. Importantly, IK has closed the fundraising of its flagship fund, the 10th generation, and this fund has reached its cap of €3.3 billion making it the largest fund ever raised by IK Partners in its history, so a great success. When we look at the group as a whole, we're looking at €34 billion of assets under management when we include Monroe Capital on the asset management side. And we are also publishing today a net asset value, which is €176.7 per share, slightly down by 4.8% year-to-date. And the loan-to-value ratio is 17.2%. Let me now go into a little bit more details on the next slide and go through the very active deployment that has taken place in terms of our road map over the quarter. On the principal investment side, I'm sure you will have seen that we've completed a forward sale of Bureau Veritas shares at about €27.25 per share. That netted us €750 million of proceeds upfront. In terms of performance, as I said, the portfolio has performed well with good total sales growth across the board. We have also seen our companies active on the external growth front with four acquisitions having been completed at Bureau Veritas, CPI and Scalian driving the sales growth, obviously. And we are now looking at a total value for principal investments of €6.3 billion, we have netted the share of our Bureau Veritas shares that we have sold for one from the total as we have received the proceeds on the cash side of €750 million. So we are now at €6.3 billion. At the same time, we've been pretty active in terms of accelerating our model to transition towards more exposure to asset management with the closing of Monroe Capital that we completed on March 31. So we have acquired 72% of Monroe for $100.13 billion as expected. And this is a strong rebalancing towards our business model, towards more recurring cash flows and growth, thanks to this acquisition. At the same time, the fundraising activity has been very healthy. As I told you already at IK with €600 million raised and in total, if we add Monroe, we're talking €3.4 billion. We have not included Monroe Capital in our results for Q1 as the closing occurred on the very last day of the quarter, but Monroe Capital is now consolidated. And we will report on figures aggregating both IK Partners and Monroe going forward. So this is the number you see at the bottom right of this slide, €34 billion of total assets under management, so quite a large platform now that we have closed the acquisition of Monroe and a very active quarter as well. Let's now look into the net asset value in greater details. So as I said, €176.7 per share as of March 31. Starting with the listed assets, about €2.965 billion. So this is slightly less than at the end of December because of the forward sale that we conducted for Bureau Veritas. So the 90 million shares reflect that for the Bureau Veritas total, as you can see. In terms of unlisted asset, €3.346 million and Asset Management, which corresponds to 51% of IK Partners plus 72% of Monroe Capital and a little bit of sponsor money called for about €29 million totaled €1.778 billion. So if we look at gross asset value, which includes cash, asset management now represents 17% of our gross asset value, which is pretty significant when you look back 12 months from now, this was 0%. Now it's about 17%. And if you strip out cash, which is a little bit in excess of €2 billion, you're talking slightly more than 20% of exposure of our group to our asset management platform. So this is the net asset value as of the end of March, €176.7. If we compare that to the level that we published at the December on Slide 6, you remember at the time we published €185.7 per share. So the total change over the first quarter is €9 or 4.8% deviation. Starting from the top with the principal investments, within the €9 change, principal investment represents €6.5. And when we zoom into that, actually, listed assets have been flat, thanks to the very good performance of Tarkett and IHS share prices over the period. This is adjusted obviously for the forward sale of Bureau Veritas, so this is comparable, flat levels of valuation at the listed assets portfolio. For the non-listed, the minus €6.5 per share is mainly the result of the decrease in market multiples and foreign exchange that we have seen over the quarter. So this is driven by the change in multiples that we use to calculate the value of our net asset value. As you know, this is quite mechanical. We have a set of comparables that we use each quarter, and we are reflecting there the decrease in market multiples on the non-listed asset side. The rest is pretty benign, less than Euro change at Asset Management, which reflects again the slight decrease of the peer multiples that we use to calculate the value of IK Partners. And we've added a little bit of operating cost, net financing results and changes in other assets and liabilities, representing €1.7 in total. We are still seeing positive carry on our financing with cash returns a little bit in excess of our cost of debt. And we are very focused on controlling our costs as well, which has resulted in this minus €1.7 and in total the €9 per share over Q1, so less than 5%, a little bit less than 5% change compared to the end of last year. Let's now double click on the performance in terms of revenue of each of our portfolio companies on Page 7. As I told you, we have seen a good revenue growth performance across the board with all companies being in positive territory, say for Scalian because of very challenging market conditions in the sector. If I start with Bureau Veritas, €1.5 billion revenues plus 8.3% total growth, 7.3% organic growth with three businesses at Bureau Veritas having delivered double-digit growth and a very healthy level of growth elsewhere as well, which led Bureau Veritas to confirm its outlook and also announcing a €200 million share buyback, which is I think a great sign of confidence. Stahl has posted plus 2% with a strong impact from Scope related to the acquisition of WEILBURGER last year. As you can see, organic growth is slightly negative at 5.4%. Scalian is the one that is in negative territory minus 6% despite the good impact from Scope related to acquisitions that were completed in 2024 and in 2025 as well of 4.9%. The organic growth is negative at 11.2%, reflecting the challenging conditions in the market for Engineering Services and IT Services. I'm sure you're following that and we have seen that this market is currently under pressure. CPI posted a healthy level of both organic and total growth, 5.3% and 5.8% respectively with a little bit of help from Scope, CPI completed the acquisition of Verge, and this is a positive development showing the potential in terms of M&A that exists for CPI. ACAMS posted very good results with organic growth shy of 7%. We are very happy to see the first signs of the very large amount of work that is going on at ACAMS with a new management team now fully operational and a lot of initiatives that have been carried out over the past quarters now bearing fruit and delivering this very good growth. Globeducate, lastly, 11% total growth, a little bit of help again from scope. As you know, this is part of the investment thesis with 3.5% related to acquisitions and very good growth coming from really the organic part of the business. In terms of asset management, which is again solely IK Partners for this quarter, but starting from next it will be IK Partners plus Monroe. But just for this quarter, very impressive level of growth at IK Partners plus 33%, which reflects the healthy fundraising and the elevated activity levels at IK Partners. So now if we step back a little bit and look at the group as a whole, both the principal investment side and the third party asset management side. Actually, we're talking €40 billion of asset, which is quite sizable, €6.3 billion on the principal investment side, €34 billion on the asset management side. I think we have a good level of diversification on both legs. Principal investment is about 45% exposed to Business Services, a category that we've been investing in for quite a long time now and with secular trends that make a sound levels of growth. About 35% exposed to education, professional training and tech. Here again, some very good trends and growth and about 20% in industry years with talent and target that you can see on this chart. On the asset management side, we have 45% in Europe with IK Partners, €15 bilk and about 55% with Monroe in the U.S. 19%. We believe this provides us with a very interesting exposure and quite diversified actually when you look at the various countries those managers are investing in and €34 billion of AUM, about 500 people in 11 countries, so quite a large and diversified group already. In total, if we look at the economic exposure in terms of geography aggregating both principal investment and asset management platform, we have about say 35% in both North America and Europe and the rest spread between Asia and rest of the world. So quite a diversified exposure as well in here. Let's spend a little bit of time on asset management before going to concluding remarks on Page 9. So as I told you, asset management is now a very significant value creation driver within the mix for us with 17% of gross asset value altogether and about 20%, 21% if we strip out gas -- cash sorry from the gross asset value. And there we are seeing a very positive momentum with revenue growth of 33% at IK, thanks to the strong fundraising. Altogether, IK Partners and Monroe have raised €3.4 billion in total just for this quarter, which is quite a big number, I think. Now we are looking at €34 billion of AUMs, as I said, well spread across geographies and a very good positioning on the small and mid-cap markets, which are really, I think sweet spots in terms of where capital needs to be invested in terms of ability to generate liquidity and performance for limited partners. And we are expecting the benefits of the platform to materialize gradually over the next few quarters. Building on this very good momentum of -- in terms of fundraising and the very impressive success of IK Partners with their 10th generation fund, which closed at its hard cap. So very good development there. In terms of concluding and takeaways, I think the most important for me is that the transformation is well underway. And we are -- you are now looking at a pretty different company than 12 months ago, given the move that we've made in asset management. In terms of financial performance, I think our net asset value has been pretty resilient with slight impact from market multiples mostly, so down 4.8% over Q1. Given current environment, I think this is showing a good resilience. This is the result of the good performance of our group companies across the board. Obviously, we have some sectors that are performing better than others. But overall, our exposure in terms of geographic diversification, in terms of underlying markets provides us with a good level of resilience. Portfolio rotation has been strong, and I think we've had a good timing with regards to both conducting this forward sale of Bureau Veritas shares and investing in Monroe and in IK about a year ago. The asset management business is now really an important, if not significant part of our performance and will be for the future, as I said. In terms of the tariffs, we haven't seen any material impact until now. Liberation Day was on April 2nd, so just a few days after the end of the quarter. But when we look at the portfolio, we expect that those tariffs will have a limited direct impact on our portfolio given the exposure that we have. Where we see maybe a higher level of risk is in terms of global macro and the evolution of the dollar, which are more the after effects of the tariffs when they will be implemented and depending on the level that is finally going to be implemented. In face of that, we have a very strong financial structure with our LTV at 17.2% and a very strong liquidity of €1.7 billion. We are happy to confirm to see our rating confirmed by S&P reflecting the portfolio rotation that we carried out and the reduction in our loan to value. So we have, I think a good level of caution as well as the resources required to continue to upgrade our business model and accelerate portfolio rotation. We are, as I said very happy about the fundraising momentum that we see at our asset management platform and also happy about the performance of our principal investment companies and their level of -- levels of leverage at this juncture. Lastly, we've announced a strong increase in our dividend, which is part of our -- I think now of the equity story of Wendel. We've announced €4.7 per share to be paid this May, which is a 17.5% increase, so quite important one. This is based on our new dividend policy, which is now, as you know, determined as 2.5% of net asset value gradually increasing to 3.5%. We already passed the 2.5% and the yield now represents based on current share price levels about 5.5%. So this shows our level of confidence and I think also reflects the ongoing transformation of our business model. This will continue and we are very focused on executing on our strategy as well as being very focused on the performance of our companies. I will end the presentation there and will be happy to take any questions that you might have. Thank you very much.
Operator: Thank you. [Operator Instructions]. We'll take our first question, and the question comes from the line of Joren Van Aken from Degroof Petercam. Please go ahead. Your line is open.
Joren Van Aken: Yes, good afternoon. I have a couple of questions, but I'll start off with three and then I will go back into the queue. So first one is on the multiple compression in the private portfolio. Could you give us some idea whether this was across the board or whether there were some particular companies that were more hit by this multiple compression? And was the multiple compression in any way impacted by the fact that you added or removed any peers from the peer set? So that's the first one. Secondly, on Scalian, we've seen the organic decline of a 11%. Have you seen any signs of recovery in this sector yet? And should we pencil in a bit of improvement in H2, for example? Or is that already is that still too early? And then finally, on the leverage and acquisition part, because we know that you want to further expand your asset management business, but since you are at the LTV of 17%, I'm a bit wondering what is now the way forward. Does it mean that you first need to sell something because before you can buy something new? Or would you be willing to go beyond the 20% LTV level temporarily to acquire, for example, an Asset Management business? Thank you.
Jerome Michiels: Thank you, Joren. So I will take your first two, and then I will hand it over to Benoit for the question on leverage and acquisition. In terms of multiple compression, so the change is not reflecting any change in the sample of peers that we use. We rarely change the sample that we use. If so, we might discount one, add another one, but there has been nothing taking place this quarter in terms of changing the samples. Is it across the board? Or is it focused on any specific companies? It's pretty much across the board. I mean, it took place at, I'm looking right now at my backup, and it's really about the same magnitude for each of our companies' pro rata of their respective net asset values. So it's really across the board. We've seen a little bit, as I said, at the Asset Management side at IK, but this is less important as the value is less important as well. But if you were to, say, apply a percentage of change to each individual net asset value driven down by the change in multiples, I think you would be certainly looking at the same type of impact, maybe a little bit more conversely or not conversely, but at Scalian because as I said of the environment, the peers in the sector of engineering and IT have suffered a little bit more than those that we are using for our other companies, I would say, which is a good segue to your second question about the environment. Well, it's very difficult to foresee the future there. We have not seen any sign of improvement yet. What we are seeing is that the business with the large customers at engineering and within the core sectors of Scalian like aerospace, like defense, like utilities, it's doing well. I mean, there is still some good growth there. What is more problematic is the smaller customers that I think are more cost conscious and reconsider their projects. And we will soon experience some headwinds in Automotive, as you can imagine. There was one peer that released its results recently that actually withdrew the guidance for 2025, only gave guidance for the next quarter saying that they can't see beyond the next quarter and revising pretty significantly their guidance for the second quarter compared to what they had put out for the whole year. So I think this gives you a sense of how difficult the market is and how difficult it is to predict any recovery. We are very confident that there will be a recovery at some point because those project cannot be delayed indefinitely. There is also a very good backdrop of investment in aerospace, mobility, electrification, et cetera. And also a very good trend of digitization, a sector that we are quite active on. So this will generate opportunities for sure and there is a secular trend there, but the current market is more challenging than it used to be. And we don't really see any uptick. We haven't seen any uptick recently, but we will continue and update you on this as well. So on the third question about leverage and acquisition, Benoit.
Benoit Drillaud: Yes. Good afternoon. Concerning the LTV, it's 17%. So we are very comfortable with this level. It's below the ceiling of the credit rating agency. But before we make a new significant acquisition, we'll need to get significant dividend from our portfolio companies or sell one of them. And if you want me to be a little bit more precise, I could tell you that the maturity of the exchangeable bond is in March 2026. So it will become very short in the coming months. But we work on the value creation of all the portfolio and so it could come also from asset partition.
Joren Van Aken: That's very clear. Thank you very much. I'll leave the floor to the other analysts, and then I'll come back at the end again.
Benoit Drillaud: Thank you.
Operator: Thank you. [Operator Instructions]. We will take our next question. And your next question comes from the line of David Cerdan from Kepler Cheuvreux. Please go ahead. Your line is open.
David Cerdan: Yes. Good afternoon. I have a couple of questions, please. The first one is regarding the fair value of your asset management activities. What is the value return for your stake in Monroe? Is it the initial investment? Regarding your objective for the asset management activities, can you explain how you expect to drive your free from 100 to 150 by 2027? What are the levels to reach this? Is it just driven by the expansion in the asset under management? Or do you see some other way to achieve this objective? And for the asset management, which peer do you use to value Monroe and IK Partners? And last question is regarding your unlisted asset. For which one do you think that it could be very difficult to protect the margins in 2025 on the back of a very poor start of the year? Thank you.
Jerome Michiels: Thanks, David. Difficult question there. But I'll start with the first one, which is simple. In terms of fair value that we've retained in our net asset value for Monroe, this is the acquisition price. We closed the acquisition on the 31st of March, so on the very day that we put together this net asset value. So we have used the value of Monroe. Going forward, and this will address your third question, we will be using market multiples. That's what we do for IK Partners. So we yet have to select a sample of peers for Monroe Capital, but our valuation team has been working on that already. And we'll finalize that for the next net asset value, which will be June 30, and we will be, at this point in time in "mark-to-market". In terms of IK, the peers that we are using well, as you know, we are not disclosing the names of the peers that we use, but you can expect, what you could expect to find in this sample is European alternative asset managers of a certain size with a business model comparable to IK Partners. So this is what we've been using and this is what is driving the slight change in multiples that we've seen on our asset management valuation. The objective of €150 million by 2027 is based on what we expect in terms of organic growth, both from IK and from Monroe. We as I said, there is a very strong momentum there in terms of revenues and fee related earnings. So this is based on the growth that we expect. Your last question on the unlisted assets and our ability to defend margins in 2025 on the back of a more volatile environment. I think it's a bit early to tell. As I said, we haven't seen any significant change in terms of business or margins over the first quarter. What we have looked at in detail is the individual exposure of our portfolio companies to parts of the economy that could be affected by the tariffs on a direct basis per se, and we are seeing very little exposure there. And some of our companies have already taken action to contain a potential higher than expected decrease on those places where they have exposure to tariffs. So we'll be very focused on that and we are very focused on that. But I think it's too early to tell whether there will be a significant impact. From a direct standpoint, we don't see, don't expect any. But obviously, if we are moving into recession territory, that is a different conversation. So we'll come back to you on this and I've asked the management team of our companies, well, they know they have to address that and have been already quite proactive in addressing that and working on contingencies should the climate be more difficult.
David Cerdan: But if we take the example of Scalian with some revenue down 11% in Q1, it seems quite impossible on my side that the company could be capable to protect its margins, no?
Jerome Michiels: Well, you have to be very aggressive on cutting cost, obviously, which is what all companies in the sector are doing. So you have variable cost, which you need to address. These are the people that you have on that's basically the utilization rate of your people that you need to trim and to keep as low as possible, which is not always easy, you're right. And then you have the fixed cost part, which is the SG&A part. And there, Scalian has already made some adjustments in terms of cost and will continue to do so to adapt to the environment.
David Cerdan: Okay. And just to finish on Scalian, in your net asset value, do -- are you have you got a valuation still positive for Scalian?
Jerome Michiels: Yes, of course, David. It's still positive. Yes, yes, of course. No, no. Yes, as I said, the market is difficult, but we are still looking at a positive value, yes.
David Cerdan: Okay, thank you.
Jerome Michiels: Thank you.
Operator: Thank you. We will take our next question. Your next question comes from the line of Joren Van Aken from Degroof Petercam. Please go ahead. Your line is open.
Joren Van Aken: Okay. I'm back. Two more questions from my side. If we look at Slide 7, you show like the table with all the revenue growth and split out between Organic and Scope and FX. So for example, for CPI, we see plus 5.8%. We see FX impact of minus 0.9%. I suppose that this FX impact is just the FX on company level for CPI itself, right? Because if I look at the Euro, U.S. dollar exchange rate over the quarter, the translation FX impact between dollar and euro should be larger than 0.9%. So what I'm trying to get at is the revenue in Euro terms would be flattish for CPI, if I understand correctly. Is that the correct way to look at it? So that's the first one. And then the second question is on IK Partners because that company reached a hard cap for its flagship fund. I find that to be very impressive in the current environment for alternative assets. So could you give us an idea of maybe of the performance of the previous vintage of that strategy? Was that top quartile or for example Q2 that could explain the very strong fundraising of this next vintage? Thank you.
Jerome Michiels: Thank you, Joren. On your first question, on Slide 7, the revenues that and the changes broken down by Organic, Scope and ForEx are at the company's level. So foreign exchange at CPI minus 1% relates to the move in other currencies than U.S. dollar because CPI is U.S. dollar as U.S. dollar is a functional currency. So this reflects the change in other currencies than U.S. dollar that they have exposure too. CPI is a very large business in the U.S. They do have exposure to international markets as well. So this is what you can see there. But maybe to address your specific question on the dollar, when you look at Bureau Veritas for instance, you will see 0.4% negative FX impact, which is pretty small, because there has been no major impact from the dollar over Q1. The depreciation of the dollar has occurred, since April 2, but before that Q1 2025 shows very little deviation compared to the average dollar rate of Q1 2024. So no strong FX impact there. There might be more based on the current levels of the dollar if it were to prevail at these levels for the next two months, May and June. I think we will be looking at Q2 foreign exchange impact more negative than what we are seeing. You've asked about the success of IK Partners. Yes, this is a pretty impressive result. I agree with you. It's -- I think it's a function of the very high quality of the investment process of IK. Their track record, which is really impressive, they are obviously one of the best investors within their space, which is European small- to mid-cap. And the performances that they have shown on the predecessor front are such that limited partners have re-upped their commitments and new limited partners have joined as well. I'm not at liberty to comment specifically on the realization on the IRR that they have generated, but they have been very good. And they have been also, I think this is one key feature, which has been important -- which is important in the investors' minds recently in terms of distribution. This famous CPI ratio is really something that IK focuses a lot on and they have been able to generate CPI that are very good and position them as top quartile investors. Moreover, I would say that recently, given the uncertainty that is currently at play in the U.S. environment. We have seen some U.S. investors looking at increasing their exposure to Europe, which is I think something that will be beneficial to IK, because as I said this firm is really one of the best firm around, if not the best, when it comes to small- to mid-cap equity investing in Europe. And this platform is very strong. IK 10 reached its hard cap, but there has been also some very good momentum at both small cap and partnership, which are two other strategies of IK as well as a continuation vehicle that they managed to raise also over the quarter.
Joren Van Aken: That's very helpful. Many thanks.
Jerome Michiels: Thank you.
Operator: Thank you. There seems to be no further questions from the phone lines. I will hand back to Olivier Allot for the webcast questions.
Olivier Allot: Thank you. We have the first question. The PR say that LTV includes a debt the vendor commitment to sponsor money for 2025 for IK and Monroe for avoidance of doubt. What about the other commitments, i.e., rest of sponsor money to come in 2026 and later and the commitment to invest into the funds?
Jerome Michiels: Yes. So we factor the commitment we have in existing funds when we have signed a commitment. And this is the way S&P takes into account these commitments in the LTV ratio. It means that we've taken into account €500 million out of €600 million of amount agreed with IK, for example. And the same for Monroe, we took into account $200 million out of $1 billion.
Olivier Allot: Thank you. Question about non-listed NEV calculation. Does the Stahl NEV takes into account the value of wet-end resulting from its recently announced disposal?
Jerome Michiels: Yes. This is a sum of the part. So for the Neustad, it's based on pure multiples. And for wet-end, it's based on the price.
Olivier Allot: Thank you. We have a question from Alexandre Gérard from CIC. I had in mind that you were more in digestion mode regarding any acquisition of additional third party asset managers. Are you still considering opportunities? How would you fund them if you were to keep LTV below 20%?
Jerome Michiels: Thank you, Alexandre. Well, yes, we are always looking for new opportunities, which can come in various shapes or forms in terms of size, in terms of asset class. We've just completed Monroe, which is quite sizable and really significantly expand our asset management platform. With these levels of LTV, you're right in saying that we couldn't be in a position to make such a large acquisition. But we have some other streams of liquidity that come from the portfolio. And as we are repositioning ourselves on the asset management side with recurring cash flows, I think the model of [indiscernible] is pretty different now. I mean starting from April 1st, we will be consolidating Monroe, which will generate cash flows. IK is performing very well, delivering cash flows to us. So it's not anymore the model where we need to sell one company to buy one when we are at 15%, 17% LTV. It's a different model, which will provide us with resources to invest on a regular basis and recurrent basis. But at the same time, we have to be mindful of maintaining a strong credit profile, which is where we are. And when I say that, it does include some caution, as Benoit said, in terms of our ability to withstand, let's say more challenging market conditions if they materialize over the next quarter. So we are constantly monitoring the opportunities there, and we'll be looking to complete and expand our asset management platform that will grow, generate higher cash flows as well as synergies in due course, providing us with more ability to invest.
Olivier Allot: Thank you. Any chance to see further rotation of your portfolio in H1 2025? How is the M&A market at the moment? Are you still considering a disposal of Stahl?
Jerome Michiels: Well, the M&A market, I think has been a little bit shaken over the past few weeks because of the level of uncertainty and volatility. So I think everyone is waiting to see how the tariff unwinds or how it will be implemented. But the fundamentals are still there in terms of the funding, the financing, and yes, the cash sitting at investors. If you look at IK, for instance, they have a very high level of dry powder. And all companies have also very good levels of cash flow and low levels of leverage, which is a good which is conducive to the M&A market. So while we don't have any plans to rotate any company, but we will -- we are constantly monitoring and we'll see, as I said, if we need to generate more liquidity from the principal investment side in due course, we'll monitor the situation. But we have no specific plans right now.
Olivier Allot: Thank you. Can we have an update on the Wendel Growth? How is it performing?
Jerome Michiels: Well, the Wendel Growth is companies, we have two different legs here. We have the direct investments and the indirect investments. In terms of direct investments, we've recently invested in a follow-up round at one of our companies. The development in our portfolio is very good. Our companies are performing well. So we are quite happy about this. And in terms of our indirect exposure, which is investment in funds, we've seen little movement. It's fair to say that the level of liquidity has been pretty low and the level of new capital being called has also been lower than previous years. But it's, I think reflecting the state of our portfolio that we've carefully constituted over the past few years. So we have been called for the most part and expect now that capital calls will slow down, whilst the distribution will gradually accelerate as the companies that are in the funds we've invested with will be sold or will lift at some point. But I think the state of the IPO market is not excellent at this point in time, which results in low liquidity. It doesn't mean that the companies are not performing well, because the -- what we are seeing is that the performance is still good. But in terms of change there, we don't expect much neither on the capital cost side nor on the distribution side.
Olivier Allot: Thank you. Tarkett [indiscernible] raised its buyout of price to €17 per share. Will this transaction create liquidity for Wendel? Or will its position move to an unlisted holding?
Jerome Michiels: The latter, this will result in Tarkett being delisted, but Wendel will not get any liquidity from that. It's just that the people who were still shareholders of Tarkett are going to be bought out for €17 per share resulting in the company being 100% private.
Olivier Allot: Thank you. Can you remind us what is the maximum earnout for Monroe? And based on what targets?
Jerome Michiels: The maximum earn out for Monroe is $255 million and it's based on the achievement of the business plan in 2027.
Olivier Allot: Thank you. Very last question. In the press release, you say that IK concluded two disposals. Can you disclose the IR generated?
Benoit Drillaud: No. But the IRs were good, but I can't disclose them individually.
Olivier Allot: Thank you. We have no more question on the web. Operator, do you have a question by phone?
Operator: There are no further questions from the phone lines.
Olivier Allot: Thank you very much. This concludes our earnings update. Thank you very much. And our next event is our AGM on May 15th and then our H1 results that we will publish on the 30th of July. Thank you very much.